Operator: Good morning. My name is Sally and I will be your conference operator today. At this time, I would like to welcome everyone to the Delek US Holdings 2014 First Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. Mr. Keith Johnson, you may begin your conference.
Keith Johnson: Thank you, Sally. Good morning everyone. I would like to thank everyone for joining us on today’s conference call and webcast to discuss Delek US Holdings’ first quarter 2014 financial results. Joining me on today’s call will be Uzi Yemin, our Chairman, President and CEO; Assi Ginzburg, our CFO; Fred Green, our Executive VP and President of Refining; Danny Norris, our CAO; as well as other members of our management team. As a reminder, this conference call may contain forward-looking statements, as that term is defined under Federal Securities laws. For this purpose, any statements made during this call that are not statements of historical facts may be deemed to be forward-looking statements. Without limiting the foregoing, the words believes, anticipates, plans, expects and similar expressions are intended to identify forward-looking statements. You are cautioned that these statements may be affected by important factors set forth in our filings with the Securities and Exchange Commission and in our latest earnings result. As a result, actual operations or results may differ materially from the results discussed in the forward-looking statements. We undertake no obligation to publicly update any forward-looking statement, whether as a result of new information, future events or otherwise. Today’s call is being recorded and will be available for replay beginning today and ending August 8, 2014 by dialing 855-859-2056 with the confirmation ID number 27457170. An online replay may also be accessed for the next 90 days at the company’s website at delekus.com. Last night, we distributed a press release that provides a summary of our first quarter 2014 results. This press release is available on our corporate website and through various news outlets. On today’s call, Assi will begin with a few opening remarks on financial performance for the quarter. Danny will cover additional financial details before turning it over to Fred to discuss initiatives in our Refining segment. Then Uzi will offer a few closing remarks. With that, I’ll turn the call over to Assi.
Assi Ginzburg: Thanks, Keith. We have had a strong start to 2014. Market conditions continue to improve from trends we faced during the second half of 2013. And the 5-3-2 crack spread increased and discount at Midland could widen compared to WTI Cushing. We generated $126.8 million of contribution margin in the first quarter and we completed our El Dorado turnaround, creating additional crude flexibility at that refinery. We ended the first quarter in a solid financial position, with approximately $392 million of cash on a consolidated basis and $97.1 million of net debt. Excluding debt and cash at Delek Logistics, we had net cash position of $159.3 million at the end of Q1. Now, I will turn it over to Danny to discuss additional financial details.
Danny Norris: Thank you, Assi. For the first quarter of 2014, Delek US reported net income of $33.7 million or $0.56 per diluted share. This compares to a net income of $77.5 million or $1.28 per diluted share in the first quarter last year. The change in year-over-year earnings in the first quarter was driven primarily by lower margins in our refining segment due to a combination of market conditions and lower throughput at our El Dorado refinery. The Gulf Coast 5-3-2 crack spread was $15.01 per barrel in the first quarter this year compared to $26.68 per barrel in the first quarter 2013. Also, our El Dorado refinery completed its turnaround during the first quarter which lowered through put on a year-over-year basis. The average WTI Midland crude discount to WTI Cushing narrowed to $3.54 per barrel in the first quarter of 2014 from $7.80 per barrel in the prior year period. While this discount did narrow, we benefited from access to 87,000 barrels per day of Midland crude in the first quarter of 2014 compared to 45,000 barrels per day in the prior year period. During the first quarter of 2014, these factors were partially offset by gains from hedging strategies designed to mitigate market volatility. These gains totaled
Part 3 : Delek Logistics. Our Logistics segment contribution margin was $22 million in the first quarter of 2014 compared to $13.9 million in the first quarter of 2013. Results benefited primarily from acquisitions completed by Delek Logistics over the past year. Delek US sold substantially all of the storage tanks in the product terminal at the Tyler refinery and El Dorado refinery in July 2013 and February of 2014 respectively to Delek Logistics. Moving on to the retail segment, retail’s contribution margin was $5.\91 million in the first quarter of 2014 compared to $7.9 million in the first quarter of the prior year. This change was primarily due to lower fuel margins and merchandise margins. We continue to focus on our initiative of building large format stores and completed three during Q1 of this year. Our goal is to complete an additional seven to nine stores in 2014. At the end of the first quarter 2014, we had 56 large format stores out of our total store count of 361. I will now turn the call over to Fred to review initiatives in our Refining segment.
Fred Green: Thanks Danny. I’d like to discuss our first quarter 2014 turnaround at the El Dorado refinery and our plans for the Tyler refinery turnaround scheduled for the first quarter of next year. During the El Dorado turnaround, we completed projects including debottlenecking the crude pre-flash tower. We expanded the gasoline hydrotreater and the diesel hydrotreater and we replaced the reactor on the FCC. Our goal was to increase our flexibility to process an additional 10,000 barrels per day of light crude. I’m pleased to report that during March, the refinery processed approximately 77,000 barrels per day of light crude. Using a light crude slate at El Dorado should result in an asphalt yield of less than 10%. As a reminder, a portion of this asphalt is shipped to Tyler to be processed in the coker into higher value products which reduces the amount of net asphalt from El Dorado to this market at each period. The work completed by our team, we now have a refinery capable of 80,000 barrels per day of crude throughput using a light or medium crude slate determined by market conditions. As a reminder, this refinery averaged approximately 66,000 barrels per day of crude throughput in 2013 with an asphalt yield of 11%. At our Tyler refinery, planning is underway for the turnaround scheduled for first quarter 2015. In addition to the turnaround work, we are planning to replace the FCC reactor at Tyler with state of the art technology. We will continue to evaluate different projects that can be implemented during the same timeframe. Now I’ll turn the call over to Uzi for his closing remarks.
Uzi Yemin: Thank you, Fred and good morning. We’ve had a successful start to 2014 with the completion of the turnaround at the El Dorado refinery, which improved crude flexibility at that location. We were able to take advantage of our integrated refining system which allowed us to store crude while El Dorado refinery was undergoing turnaround work. This resulted in crude slate at both refineries that were primarily Midland and local Arkansas sources during the first quarter. In addition, our Tyler refinery was able to support our customers in Arkansas during the turnaround as product was sold through El Dorado. We had strong performance in our logistics segment and in February, we found and unlocked value of our logistics assets with another dropdown of some logistics assets. We have experienced continued improvement in market conditions so far in the second quarter of 2014 as crack spreads have increased sequentially from first quarter of 2014. In addition, the differential between WTI and Midland and Cushing has widened to approximately $8.80 per barrel on average for April and May crude. Trading for June crude deliveries is indicated a discount in a range of $6.50 to $8 per barrel. As a reminder, we do not have any scheduled downtime at our refineries for the remainder of 2014 and El Dorado has now -- has the capacity to process 80,000 per day of light crude. We continue to maintain financial flexibility through a solid balance sheet and remain focused on creating value through a combination of investing in our businesses and growing through acquisitions, while returning value to our shareholders. With that, Sally, could you please open the call for questions?
Operator: (Operator Instructions) Your first question comes from the line of Paul Sankey with Wolfe Research. Your line is open.
Paul Sankey – Wolfe Research: Uzi, can you update us on your very latest thoughts on acquisitions, how the market is looking for you? There’s been quite a lot of chatter recently about California for instance. Thanks.
Uzi Yemin: Great question. By the way good luck. Specifically refining, let’s go by refining and then go to logistics. Refining obviously we all know that these are good times for refining our business. However, there are still refineries that we think that are undervalued. There are four criteria for us to look at the refining aspects. The first one, our ability to change the crude slate to a more favorable crude. The second one, improve or increase capacity. Third one, to make sure that we have (inaudible) projects with that facility. And the fourth one is to improve index. We still have ideas of several refineries that meet these four criteria. However, we did say in the past that we don’t think that California is an area that is an interest to us. So this was in regard to the refining segment. In regards to the MLC or the Midstream, we said yesterday and I’m going to repeat it today. There are assets that we’re looking at. The multiples that we’re looking at, these assets are between eight to 10 times similar to what we said for several assets in the last two, three quarters and I don’t see a reason why to change that. We will remain committed to the goal of want to see $1 million EBITDA for the logistics assets by the end of 2015.
Paul Sankey – Wolfe Research: Great. That’s very clear. And so the general strategy remains to try and grow through acquisition opportunistically. It will obviously be an MLP story, but also the potential is there for you to have a step moving into a new refining position.
Uzi Yemin: Obviously we want to continue to increase our refining base. We said all along doubling the size of the company. We are to the end of our capital program as we just finished improving El Dorado to the level that we wanted El Dorado to be and we don’t have any turnaround plans for that refinery for the next five years, neither major capital projects. And at Tyler we will be done with all these movements, but at the beginning of next year obviously with the cash on the balance sheet and the performance I don’t see any reason why we won’t go after refining assets if they meet these four criteria.
Operator: Your next question comes from the line of Ed Westlake with Credit Suisse. Your line is open.
Ed Westlake – Credit Suisse: I’m sure Paul is going to be with us a long time. So I was hoping he hadn’t left Wolfe Research with that pause before we came on. Just on the Delek Logistics, obviously consensus is out to $105 million to $120 million and that’s probably mainly organic. Do you think you can hit that organically and the rest has to be bridged to get to $150 million on acquisitions?
Uzi Yemin: Some of it is more – there are some organic projects that are not baked in the numbers. For example we mentioned that the fact that the expansion of El Dorado demand slate now is 80 and we were in 66,000. Obviously that additional feeds to our (inaudible) every thousand projects around $300,000 and $360,000. So that by itself is fees that we will see immediately in the second quarter if we run at capacity or close to capacity, which I don’t see any reason why we won’t do that. So that by itself another additional fit with MLP. We see volumes growing in several places and we still feel that the system can benefit from the growing areas that we’re in. We just had the terminal in Memphis running very, very well for the first quarter and we see this continuing in the second quarter. So organic is still a big part of this thing, but as we said always our goal is to buy assets and improve them dramatically. And I don’t see the reason again why this policy won’t continue. The goal is 150 with a combination of organic and acquisition.
Ed Westlake - Credit Suisse: Great. And then a second question on the switch at El Dorado, I mean obviously we haven’t seen what crudes you are buying yet. A lot of the will be physical in the second quarter. But you said 77,000 of light. Can you give us just a sense of the breakdown of where those crudes are coming from so we can think a little bit about the change in landed crude cost?
Uzi Yemin: Obviously if you look around, you will see that most crude now that we have access to are in discount to WTI, when I said that this is delivered. Now we didn’t breakdown ever the sources of crude because of competitive reasons. But there is no reason to believe that El Dorado is paying more than WTI delivered to the refinery.
Operator: Your next question comes from the line of Paul Cheng with Barclays. Your line is open.
Paul Cheng - Barclays Capital: Hopefully start with really short question. Maybe this is for Assi. Assi, in Tyler for March, can you just give us a breakdown or maybe this is for Fred, the breakdown of the [revenue] when you are running 77,000 of light oil?
Uzi Yemin: I assume that you are talking about El Dorado, right?
Paul Cheng - Barclays Capital: Yeah. El Dorado, I’m sorry.
Fred Green: Yeah. Paul, roughly what we see is a similar yield pattern to Tyler where you have roughly 50% gasoline, 40% diesel and 10% of other. And there at El Dorado the bulk of that 7% to 8% is asphalt, the rest being LPG.
Paul Cheng - Barclays Capital: Fred, in the Tyler first quarter 2015 downtime turnaround, how long is the downtime going to be and the impact on your throughput during the downtime?
Fred Green: Paul, we are estimating somewhere around 35 days. So if you just pull 35 out of the roughly 90 days of the quarter, you could expect us to average, I’m just guessing here, somewhere around 38,000 to 40,000 I think.
Paul Cheng - Barclays Capital: So that is a full time downtime during that time?
Fred Green: That’s correct.
Paul Cheng - Barclays Capital: And this is for Assi. Assi, it’s likely that you have sold some inventory either from Tyler or El Dorado. Can you tell us how much inventory you sold and then what is the profitability on those barrels?
Assi Ginzburg: You are correct. We have sold barrels at -- if you look at the El Dorado system in Q4 we have built product inventory during the -- for the turnaround in El Dorado. The exact numbers I don’t have in front of me, but if you look but if you look at the press release you’ll see that the throughput of the refinery was around 44,000. And we sold I think close to 55,000, which means we have reduced inventory by approximately 300, 000 barrels for the quarter. I will tell you that there wasn’t a big profit on those volumes as we are doing FIFO inventory in El Dorado. So you shouldn’t expect any big inventory on that.
Paul Cheng - Barclays Capital: So El Dorado inventory is actually FIFO. It’s not LIFO inventory?
Assi Ginzburg: Correct. Tyler is LIFO while El Dorado is FIFO.
Paul Cheng - Barclays Capital: And so you think that the inventory profitability is very low at the resell?
Assi Ginzburg: Correct.
Paul Cheng - Barclays Capital: Do you have a lot of buy and resell in Tyler or El Dorado on the product sales number?
Assi Ginzburg: In Tyler we do not have any buy and sell and in El Dorado we excluded buy and sell volume from the throughput.
Paul Cheng - Barclays Capital: I see, okay. And Fred, do you have additional update about El Dorado upgrade and expense into 100,000 barrel per day to (inaudible)
Uzi Yemin: We just completed for -- this is Uzi. I’ll take it for Fred and he’ll repay me after that. We just upgraded that to 80,000. We are in – the reason we didn’t provide you with numbers of the returns, even though we think there is a great return, we are still in the phase of checking what we actually did and it match what we were expecting. That will take us a few months as we stabilize the system, find the right catalyst in different places and make sure that the crude state is what we want it to be. Initially that by the way, I agree that the reason we weren’t afraid to say that asphalt is less than 10%. Once we evaluate that, then our engineering team and after the El Dorado – after the Tyler project will be completed because we have a very busy season ahead of us with Tyler, then we will sit down and evaluate that towards the next turnaround cycle which is 2019.
Paul Cheng - Barclays Capital: Okay. So we should not expect any concrete plan coming out until the earliest that would be late 2015, early 2016 whether you go ahead?
Uzi Yemin: That is correct.
Paul Cheng - Barclays Capital: It’s fair. Assi, do you have a market value of your inventory exist at both? And also any preliminary outlook for the 2015 CapEx and turnaround spending?
Assi Ginzburg: Can you repeat the second portion of the question?
Paul Cheng - Barclays Capital: 2015 CapEx and turnaround spending, any preliminary outlook?
Assi Ginzburg: We usually do not provided this time of the year focus for 2015. I will tell you that in El Dorado we have not planned CapEx for 2015 out of the few well costs that we plan to buy in 2015. So it should be a very low. And in general turnaround, if you look at the refining in our side it can cost between $30 million to $40 million. So those are the big things at the refineries. I will expect, unless we do something different, quite low CapEx in 2015 and going forward.
Paul Cheng - Barclays Capital: Okay. How about the market value on the inventory?
Assi Ginzburg: The Market value of the inventory was -- let me look at that, it’s in the Q, $47.5 million over LIFO
Paul Cheng - Barclays Capital: Final question, Uzi, in the recent I think couple of months that there is a number of transactions happening in the retail. The multiple was very robust. When we are looking at your retail operation, how you guys look at how strategically it is to your portfolio or that you may be thinking yeah, it’s okay if they are in multiple. It’s good. I can just serve it to someone else because I don’t think it’s big enough for you to do a spin off. And also that if you are not going to sell surrounding in the El Dorado, do you have any plan to significantly expand your retail outlet in that region so that you can provide a direct outlet for the El Dorado output?
Uzi Yemin: These are two great questions. The first one we do agree with you Paul that we don’t get the multiple on the retail, but we are in the process of building that system. We opened I think three stores during the quarter and eight under construction as we speak. These are megastores and we need to let them mature before we start talking about spinning it off or selling it. These stores we invested a lot of money in them and a lot of effort and sweat for them to perform. So we just need to be a little patient here, all of us to make sure that these stores mature and they actually perform the way we want them to perform. The second question however is an interesting question, because as we build the chain we are building it around our terminal and refining systems. And for the first quarter of 2014, the El Dorado refinery sold either directly or through a change to the retail in excess of 10,000 barrels. So more and more we are integrating that system into the retail and to enjoy both ends. Obviously we enjoy that on, just as an example on the ethanol side and that’s the reason we feel that the ethanol is not an event for us while other refineries may suffer from that. So the first question is it’s not mature enough to stop talking about that. The second question, more and more integration between the two systems.
Operator: Your next question comes from the line of Blake Fernandez with Howard Weil, your line is open.
Blake Fernandez – Howard Weil : Yes good morning, Uzi, you made some comments on M&A and it seems like you kind of ruled out West Coast. I was curious if you’d be willing to do the same thing on the East Coast.
Uzi Yemin: At this point I don’t see – and I want to be clear that this is temporary because only donkeys don’t change their mind. So at this point we don’t see an opportunity in the East Coast.
Blake Fernandez - Howard Weil : Okay great, thanks. Secondly, I hate to go too far onto this, but the hedging component was a fairly significant number in the quarter and I’m just trying to see if you could help us understand how to think about that going forward being embedded in the numbers. Any color you can give on how to think about that?
Uzi Yemin: Obviously this was a big number, yes. Now we all along have strategy of hedging and we never broke it down between segments. If you look at the financial statements, the fourth quarter, the third quarter we looked at it as part of the business. And there was some noise. It wasn’t big noise like this, time, but it was embedded in the numbers. So for us hedging is part of the business, but not from an accounting standpoint, but from a business standpoint. And I think I mentioned that to you even personally a couple of months ago that the market structure is so weird for different feed stocks that the [backwardation] is just so steep that all you need to do is be willing to commit and wait. And that’s because of the stiffness that existed in the first quarter that number became so big. If the curve is flattening, that won’t be the case as much. But since some of the few stocks were so [backward dated] almost to a ridiculous situation, we took advantage of that and that’s the result you see with this $32 million hedging gain.
Blake Fernandez - Howard Weil : And without given guidance into 2Q, have you witnessed some of that continuation spill into 2Q so far?
Uzi Yemin: Obviously we didn’t give guidance in that regard. The curve is not as steep. So I don’t expect the number to be $32 million next quarter and I wouldn’t model that. If you look at the futures, the curve is as flat. Obviously that allows us surprisingly enough to make more money on the other side, on the year actually -- on the curve themselves or the other feed stocks themselves. But I wouldn’t expect $32 million second quarter.
Blake Fernandez - Howard Weil : Right. Okay. And the final one for me is kind of tying in. The parent company has done some sales over the past few months. And just curious, does that change anything for you from a strategic standpoint, whether it be on the buy back side or maybe even potential to issue equity for M&A? And I guess I’ll tie in with that too on the buy back. I noticed you had the $50 million authorization I believe it was back in march. It doesn’t look like you’ve done any of that. So just any thoughts on when we may see that.
Uzi Yemin: These are two great questions. The first one in regard to the parent company selling, as I told you before, we all call them parent company. Now they’re not even – they’re the main shareholder but they are not involved in the business. So their decision is their decision and it’s up to them to make a decision what to do with their property. They are not subject to any regulation as far as I know because of the fact that they are not on our board. They read about these results as much as you do yesterday. So I’ll leave it to that. It’s up to them to decide what they want to do. The second question, the buyback, we announced in the past that we’re going to repeat that. Again that buyback is one of the tools in our toolbox to enhance value to shareholders. Obviously we just completed the turnaround in El Dorado with a major revamp. We’re very happy about it and look forward to great returns. As we always said usually we are targeting usually at least 100% return on project. So that’s another tool, but we see that the best thing is to do some buyback. That’s the reason the board gave us the authorization and we won’t have to use this tool to enhance value for the shareholder.
Operator: The next question comes from the line of Jeff Deiters with Simmons. Your line is open.
Jeff Deiters – Simmons & Company: I was hoping you could talk a little bit about the WTI Midland Crude that you’ve got coming into Tyler and El Dorado. Are you seeing the crude quality shift towards a higher API gravity crude? Could you share information on that more condensate growth in the Permian?
Fred Green: Yeah. Jeff, this is Fred. What we’ve seen and it started probably the middle of last year is the gravity of the common stream WTI drifting up from around 40 to today we see it as high as 43 coming out of Midland. So, definitely either more condensate finding its way into that pool, some of the Eagleford drifting up from the southern portion of the Permian but yeah, you’re absolutely right. In general we’re seeing the gravity drift up.
Jeff Deiters – Simmons & Company: And that kind of feeds the El Dorado flash tower project economics I assume?
Fred Green: It has helped significantly.
Jeff Deiters – Simmons & Company: Secondly, we’ve seen from an industry perspective, some of the rail volumes increasing into the Cushing area and decreasing into St. James since the addition of the keystone Pipeline South. [Seaway Point] and Keystone go kind of through your general area. Is there an opportunity to connect to those pipelines or since those pipelines are coming from Cushing and you’re buying at Cushing minus delivered, that really is not an economic outcome.
Uzi Yemin: Again another tool in our toolbox. I mentioned that earlier for something else, Jeff. We are connected to Cushing, and it depends on the economics. Right now, obviously we enjoy discounts almost everywhere. So I don’t know that it makes sense to move Cushing pricing. But not necessarily, sometimes you can move back from Cushing with Cushing minus prices shockingly enough. So I believe that this tool is sitting in our toolbox. We are connected to Cushing and the ability to do it when we want. However, right now the discounts are so steep everywhere else that we just don’t pay Cushing.
Jeff Deiters – Simmons & Company: Got you, and finally you’ve shifted towards a lighter slate and less asphalt yield. But you still do have some asphalt yield at El Dorado. Mars has shifted to a discount to WTI where previously it was at a premium. Could you talk about how the asphalt season’s shaping up for this summer?
Uzi Yemin: I’ll take that one and Fred if you want to jump in because just to give you the main sort of what used to be a big event became a non-event. Fred mentioned that we’re going to be less than 10% of asphalt for 180,000. We’re talking about 8,000, 7,000 barrels. Out of it we announced in the past that at least 2,000 are going to Tyler. So we’re talking about 5,000 barrels a day of asphalt. So we are able to sell it in the local market as a metric. We’re actually looking surprisingly enough to buy asphalt to complement our production because we have more liabilities than what we’re actually producing. And Fred, I don’t know if you want to add to that.
Fred Green: Yeah. The only thing I would add is the real goal of the El Dorado project was flexibility. So now we have the flexibility to go up 80,000 on a 40 gravity slate. But we can still run 80 or a little more on like a 28 gravity average slate. And we can change that group slate within about a 30 to 45 day period. So when those asphalt crudes like Mars or Poseidon or Southern Green Canyon, when the refined value of those crudes look good we can shift to those with minimal lag time.
Uzi Yemin: And Jeff, Assi was kind enough to give me some more data as Fred was talking. And in our market the published asphalt number which obviously it’s not ours but it’s published, is around $96. So if we take the WTI minus Midland, you see that we’re actually breakeven or close to breakeven maybe making a little money on asphalt based on this data.
Operator: The next question comes from the line of Roger Read with Wells Fargo. Your line is open.
Roger Read - Wells Fargo: I guess really my question was going to be on how many barrels you could run light and I guess you just hit that on the last one. But you talked a little bit about yield. As you think about yield, whether you are running the all light at El Dorado or if you go with the -- back down to the 28 degree API, how will that affect yield other than obviously you are going to create more asphalt?
Uzi Yemin: Fred, do you want to take that one?
Fred Green: Yeah. That’s fine. You can go back and look at what we saw yield wise in the 2011 timeframe. In the third quarter of 2011 we ran relatively high rates and produced about 20% asphalt, 18% to 20%. But once you get beyond that, running the lower gravity crude gives us more flexibility to optimize around gasoline or diesel. So on the heavier slate and depending on the amount of distillate that’s in the crude, we can get to almost equal percentages of gasoline and distillate at the refinery when we are running an asphalt crude.
Roger Read - Wells Fargo: Okay. And then the only other question I had, looks there’s a little bit of delay in pipeline capacity, getting to Little Rock in terms of bringing additional product in there. You give us an idea of what your product volumes are? Whether they are staying in Arkansas or whether they are getting on the river and heading elsewhere?
Uzi Yemin: Everything staying – when we say Arkansas, it doesn’t stay in Arkansas because we supply our own stores in Memphis and we do have our own terminal in Memphis. But for the most part it stays in Arkansas and Memphis a little bit, maybe a little bit off the pipe towards El Dorado, but for the most part Arkansas and Memphis are our market. By the way these are the markets we were asked earlier to question about the stores, these are the megastores that we are building in support of this business.
Operator: Your next question comes from the line of Ed Westlake with Credit Suisse. Your line is open.
Ed Westlake - Credit Suisse: Yeah. Just a very small follow on. You mentioned the crude streams changing from 40 to sort of 43 API. Is there are any limits on the pipe that brings the crude across to you guys in terms of the API gravity that would concern you? Do you know?
Fred Green: I’d have to take a look at it. The pipeline has specifications for the crude and it’s really going to be more geared towards the vapor pressure of the crude than the gravity. So I think -- and I’m just going off the top of my head, I think anything less than probably 45 to 48 would not cause any issues for the pipelines.
Operator: Your next question comes from a line of Paul Cheng with Barclays. Your line is open.
Paul Cheng - Barclays Capital: Hey guys, two quick follow ups. Fred, in El Dorado, does it make any difference in yield between running the Permian crude or the Bakken crude?
Fred Green: There are some slight differences, Paul and it’s down to the point where we have to use the LP model to tell us what those differences are, but as you …
Paul Cheng - Barclays Capital: But this one’s though is somewhat immaterial for you.
Fred Green: Yes, It is.
Paul Cheng - Barclays Capital: Okay. And Uzi, for the logistics system with the Permian grade start getting lighter and a lot of your peers are complaining that is not necessarily all the oil coming out is good for the refinery or at least in their refinery. Does it make sense for you guys to become more aggressive and using the L key cutting in the crude gathering system in the Permian and so that you can procure your own crew more selectively?
Uzi Yemin: That’s a great question. Actually we didn’t disclose at March because we were just beginning then. But we do have some crude that we gather ourselves in the Permian. I won’t get into numbers yet because it’s just the beginning, but we do gather our own crude in the Permian.
Paul Cheng - Barclays Capital: Is that an area of focused growth area for the logistics system?
Uzi Yemin: Absolutely.
Operator: (Operator Instructions) there are no further questions at this time. Mr. Yemin, I turn the call back over to you.
Uzi Yemin: Thank you, Sally. I’d like to thank my colleagues around the table here. I’d like to thank each one of you for your great questions and I’d like to thank all of our investors for our company. But mostly I’d like to thank all our employees and my friends here that allow this company to be what it is. Have a great day. Thank you.
Operator: This does conclude today’s conference call. You may now disconnect.